Operator: Welcome to the Photronics' First Quarter and Fiscal Year 2026 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Ted Moreau, Vice President of Investor Relations. Please go ahead.
Ted Moreau: Thank you, operator. Good morning, everyone. Welcome to our review of Photronics' Fiscal First Quarter 2021 Financial Results. Joining me this morning are George Macricostas, Chairman and Chief Executive Officer; Eric Rivera, President and Chief Financial Officer; and Frank Lee, Head of Asia operations. The press release we issued Wednesday morning, along with the presentation materials accompanying our remarks is available on the Investor Relations section of our website and on the Form 8-K filed with the SEC. This call includes forward-looking statements that involve risks and uncertainties, which could cause Photronics results to differ materially from management's current expectations. We encourage you to review the forward-looking statements disclosure included in our earnings release and in our most recent SEC filings. In March, I will be attending the upcoming OFC trade show in Los Angeles and would welcome the opportunity to meet with investors. With that, I will now turn the call over to George.
Constantine Macricostas: Thank you, Ted, and good morning, everyone. Accelerating demand during fiscal Q4 continued throughout fiscal Q1 with sales increasing 4% sequentially to $225 million, exceeding expectations. We executed on the robust high-end demand in Asia ahead of Chinese New Year, propelling our high-end IC business to a second consecutive quarterly record. Revenue and gross margin strength contributed to GAAP diluted EPS of $0.74 and non-GAAP diluted EPS above expectations at $0.61 per share. Over the past 9 months in stepping into the CEO role, I have prioritized strengthening our operating efficiency. While I'm not sharing specific metrics today, we have been making pinpoint actions to drive continuous improvement. We are executing with urgency and discipline to continue to elevate quality, improve yield, accelerate cycle times and enhance customer experience. We're optimistic that our improved operational performance will drive higher revenue and continued market share gains as the industry demand expands. In our IC business, revenue of $165 million increased 7% year-over-year with our high-end business growing 19%. We continue to recognize growth for mass that support exciting areas such as AI-driven chip packaging applications and masks for high NA EUV development projects. We believe the high-end strength will continue as order demand remains healthy to partially mitigate the upcoming seasonal impact following Chinese New Year. As we leverage our global footprint and strengthen sales leadership, we are sharpening our focus on high-end opportunities that advance our node migration strategy while broadening our geographic diversification. Our ongoing expansion projects in the U.S. and Korea will enter volume production in 2027. Customers in these regions are pursuing broader outsourcing strategies and have been sharing their technology requirements, helping to drive our technical road map. In the United States, we continue to see healthy customer qualification activity across both advanced logic and memory technologies. In logic, we are supporting high-volume manufacturing at 12 and 14-nanometer while extending qualifications to 8-nanometer and below technologies. For advanced DRAM memory, we are engaged in qualification activity, leveraging our new IP processes using our multi-beam mask rater for patterns below 20 nanometers. Our Allen facility expansion remains on track as we're starting to install tools with customer qualifications expected to be completed by the second half of this year. Our plan is to expand production capabilities in Allen to meet the increasing photomask demand for U.S. mainstream wafer fabs, including technology nodes from 90-nanometer to 40-nanometer. In China, our competitive positioning remains strong in this fast-growing market. We will continue delivering quality masks with an emphasis towards higher-end nodes playing to our competitive advantages and where competitive intensity is lower. Turning to FPD. Revenue of $60 million increased 3% year-over-year. At the high end, our technology advantages enable us to produce more complex and larger mask sizes. In Korea, we recently took delivery of and will soon be installing the most advanced mask [indiscernible] for the FPD market. This new [indiscernible] improves resolution and enhances accuracy while allowing us to maintain high throughput. As the first display mask supplier to have the capabilities this tool provides, we will be extending our technology leadership delivering the highest quality AMOLED photomask for a variety of applications including G 8.6 mask size, which improves screen quality for consumer electronics. G8.6 AMOLED is a market that remains in its infancy with adoption expected to broaden later this year. Looking ahead at fiscal Q2, we continue to see positive underlying demand. While the full seasonal effect of the Chinese New Year in mid-February will be reflected in revenue, design starts remain healthy and support our full year growth trajectory. In summary, the regionalization of global semiconductor manufacturing, combined with increased outsourcing from captive is opening up leading-edge opportunities. driving our capability and capacity expansion plans. We remain focused on operational efficiencies and executing on the implementation of these investments to fully capitalize on these opportunities. I will now turn the call over to Eric to review our first quarter results and provide second quarter guidance.
Eric Rivera: Thank you, George. Good morning, everyone. First quarter revenue exceeded expectations at $225 million, increasing 4% sequentially and 6% year-over-year. IC revenue of $165 million increased 7% year-over-year. We achieved record high-end IC revenue of $71 million, an increase of 19%. Strength in Asia accelerated leading up to Chinese New Year where we have strategically emphasized high-end opportunities. Revenue in the U.S. increased slightly year-over-year and we expect the U.S. to be a contributor to revenue growth over the coming year. Mainstream IC revenue was flat year-over-year at $94 million. Turning to FPD. Fiscal Q1 revenue of $60 million increased 3% year-over-year. This quarter, we experienced a mix shift towards strong demand in the mainstream category targeted at the China IT display market. While these projects fall within mainstream, they feature larger sized screens that align well and play directly to our competitive strengths. We expect demand trends to continue in fiscal Q2 and with a modest offset from Chinese New Year. Gross margin was at the high end of expectations at 35% as we benefited from higher revenue levels and a greater mix of high-end IC revenue which combined to drive up our operating leverage. Operating margin was 24%. Diluted GAAP EPS attributable to Photronics shareholders was $0.74 per share. Excluding foreign exchange impacts, non-GAAP diluted EPS was $0.61 per share. Our earnings to shareholders in the quarter reflected the strong demand in Asia, leading up to Chinese New Year. We also achieved the second highest quarter of operating cash flow in the company's history at $97 million, equating to 43% of revenue. CapEx was $48 million, which primarily consisted of equipment to further extend our technical leadership in FPD. As we have previously discussed, we have entered a period of elevated capital investments to drive future organic growth. We are reiterating our fiscal 2026 CapEx guidance of $330 million with elevated CapEx focused on special project investments in the U.S. and Korea along with accelerated end-of-life tool upgrades. Our initiatives in the U.S. and Korea will further strengthen our ability to capitalize on growth trends, including increased captive outsourcing, high-end known migrations, geographic diversity and regionalization. We continuously review CapEx plans as we monitor market demand requirements relative to our manufacturing capacity and capabilities and additional projects we are considering. Total cash and short-term investments increased by $49 million sequentially to $637 million, including $459 million held in our joint ventures, in which we hold 50.1% ownership interest. Our capital allocation strategies include 3 priorities: Reinvesting for organic growth, pursuing strategic opportunities and returning cash to shareholders As a reminder, we opportunistically used $97 million to repurchase 5 million shares in fiscal 2025 for an average purchase price of $19.52 per share. For 2026, we will continue to emphasize internal investments to drive future revenue and earnings growth. Before providing guidance, I'd like to remind you that demand for our products is inherently variable. Visibility is limited with typical backlog of only 1 to 3 weeks. Additionally, high-end mass sets carry significantly higher ASPs, meaning even a small number of orders can materially influence revenue and earnings. Demand is also affected by IC and display design activity and secondarily by wafer and panel capacity dynamics. Given current market conditions and the seasonal impacts of Chinese New Year that George referenced, we expect fiscal Q2 revenue to be in the range of $212 million and $220 million. Based on those revenue expectations and our operating model, we estimate fiscal Q2 operating margin between 22% and 24% and non-GAAP diluted EPS between $0.49 and $0.55 per share. I'll now turn the call over to the operator for your questions.
Operator: [Operator Instructions] Our first question comes from the line of Christian Schwab from Craig-Hallum.
Unknown Analyst: This is Ben Taxol in for Christian Schwab. First thing, or my first question is, just with that slight sequential decrease in revenue and operating margin. Is there anything else we should be thinking about besides the Chinese New Year? And then my follow-up to that would be what are some things that need to happen to kind of hit that higher end of that guided range.
KangJyh Lee: Yes. Christian, I think in this year, the Chinese New Year fell into second -- middle of February. So most customers, especially the fab [indiscernible] design house customers, they are taking the long holidays. So we do see the customer tape-out forecast will resume in the middle -- early of March. So I believe we do have a lot of active from the orders before the new year. However, because the temporary slowdown during the long holidays and the first week after the holiday. So there may be a slight impact on the output. And that's why our forecast is slightly lower than Q1. Basically, we don't see a major difference in the market environment but had they did make some impact on our output.
Unknown Analyst: Okay. Good context there. Now just with the Allen facility coming online and then just thinking about the high-end [indiscernible] facility and also kind of the high-end IC revenue in these last 2 quarters. Is there -- can you kind of talk about that? And then also maybe a little bit of a proxy for the high-end IC going forward? Is it going to be kind of continued at these same rates, these last 2 quarters? Or is it going to be lower or higher.
KangJyh Lee: the Eden project, actually, we kicked off the project several quarters ago in terms of planning the facility, cleanroom expansion so -- and equipment purchasing. Right now, our cleanroom has been ready and we have a tour delivered already. At this moment, we are in the process of installing new equipment, which will be complete and sequentially, we need to do certain customer qualification. So we believe once the qualification complete, Allen site will be able to contribute to our business, especially in the mid range of mainstream. At the same time, Allen can support our Boise facility take some middle or low end, [indiscernible] away from Boise. So we can spare the Boise capacity for the real high-end business. And we will see a lot of high-end opportunities, which we have to maximize our Boise capacity in terms of the product mix. Also, I think both George and Eric report, we are going to do a lot of CapEx expansion, which include voice, high-end capacity expansion to meet a strong high-end customer demand.
Unknown Analyst: All right. Good. And then just my last question here. Switching over to flat panel. Discussing your leadership in AMOLED and kind of the G 8.6 exercise and the material higher ASPs with that. Can you remind me of the different applications of that technology? And then, maybe just help us understand the size and scope of that opportunity over the next few years would be really helpful.
KangJyh Lee: For [indiscernible] 8.6, as George reported, it's in an infant stage of business development. We do receive a very first set of [indiscernible] photomask from our Korean customers. and we do see a lot of Chinese customers are in the process of developing 8.6 AMOLED business. So we believe with our process capability and also the most advanced new writer, we just installed in Korea. We will be [indiscernible] in G 8.6 flat panel business. Eric, do you have anything to add here?
Eric Rivera: Thank you, Frank. I think you covered all areas here. So I have nothing else to add.
Operator: One next question comes from the line of Gowshi Sri from Singular Research.
Gowshihan Sriharan: My first question is on the margins. You've been consistently printing kind of even as mix improves, do you think there's any risk that we are temporarily overearning here or because of unusually high tight high-end supply? Or is that -- or is that we should expect some more normalization as more capacity, including your own comes online over the next year or 2?
Eric Rivera: Gowshi, this is Eric here. So we don't see Q2 being much different than Q1 at the moment from a product mix perspective. Of course, the market is going to determine that, but that's what we're expecting it to be similar. In terms of our CapEx that we are projecting, as I mentioned in our prepared remarks, we're entering a stage of elevated CapEx investments as a result of the opportunities the market is affording us, and we will certainly capitalize on them. With that comes increased depreciation, of course, when the tools are in place. But also revenue will increase for many of those projects. And those CapEx that are related to end-of-life tools, a lot of our under life tools provide additional capabilities that will enable us to improve our product mix. In general, I would say that although margins could surely fluctuate primarily because of product mix, we don't expect our margins to like fall off a cliff. Then we also -- I'm sorry, go ahead, Gowshi.
Gowshihan Sriharan: No, no, I go ahead.
Eric Rivera: Yes. I was going to just...
KangJyh Lee: Eric, sorry. Please go ahead. I can comment afterwards.
Eric Rivera: I'm passing it on to you, Frank, go ahead.
KangJyh Lee: All right. Gowshi, actually, we do have a lot of high-end business. And as I just mentioned, we need to maximize our most advanced side voice output. And that's 11 reason we need to have insight to take some loading away. At the same time, to increase the capacity in voice side, we are working with many customers to qualify a new writer called Martin writer. This writer has a much, much higher throughput which can improve our overall lease capacity. So right now, it's not really so-called business constraint is actually a little bit capacity constrained. So with the -- and also with the market being qualification in voice side, we will try to increase our high-end capacity. And of course, the high-end capacity will contribute greatly to the gross margin.
Gowshihan Sriharan: Thanks for the color. And on the Asia side, in China, you said that it's kind of stabilized stuff mainstream. Now it's been a couple of quarters. Are you seeing any the local competitors adjust their behavior or either moving up the node themselves or becoming aggressive on pricing in the segments? Is it still your deemphasizing, and could that change the economics of your stabilized soft mainstream outlook?
Eric Rivera: I'm sorry, go ahead, Frank.
KangJyh Lee: So we should not talk. I think you talk first. I talk later. No problem, yes.
Eric Rivera: No problem. So with respect to Asia and China specifically, I think we're focused on the high end, where there's less competition, that's where we have a competitive advantage from the new entrants and the increased competition there. They're more focused on the mainstream as they learn the business, if you will. So given our strategy, we see our margins relatively flat or slightly improving. It all depends on our product mix, but we're focused on the product mix on the high end where there's less competition. Frank, would you like to add something to that?
KangJyh Lee: Sure, sure. I think in China market, even there are several, many newcomers, but because for our customers, the high-end qualification require a lot of human resource wafer resource from the wafer fab. So most of our high-end customers, they just have surprise. They are not really interested to spend a lot of resource to quantify #4, #5, and so -- we believe the entry barrier for the newcomers to the high-end business is very high. So for our sales Photronics, we do have a facility locally in Xiamen, and we are focusing on the high-end business in China. We have a business from major Chinese high-end wafer fabs. So we will continue to improve our cycle time, the delivery and so on and also to maximize our high-end product mix. So we believe the newcomers may have some negative impact on the mainstream. But on the high-end side, we do have a lot of advantages.
Gowshihan Sriharan: Got you. So since Asia was the stronger demand, a key driver to the beat. Can you give us a little bit color on what that demand looks like under the herd. And does that mix look structurally different from what you are seeing a year or 2 ago?
KangJyh Lee: Okay. I think the main driving force is the diversification because due to the geopolitical reasons, the onshoring regionalization and the customer, the design house they have to do they have to manufacture their products in different countries. So for example, if they need to sell their chip to China, they need to make their wafers in China, Chinese foundry companies. So with this, a lot of duplicate [indiscernible] happens because this issue. At the same time, for Chinese customers, the migration to 22-nanometer happened in this year. A lot of companies are doing technology migration as compared to a couple of years ago. So we do see a lot of new tape-outs in 22, 28-nanometer from our China customers.
Operator: Thank you. At this time, I would now like to turn the conference back over to Ted Moreau for closing remarks.
Ted Moreau: Thank you, Gigi, and thank you, everyone, for joining us today. We appreciate your interest in Photronics, and look forward to catching up with everyone throughout the quarter. Have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.
KangJyh Lee: Thank you.